Operator: Good day, ladies and gentlemen, and welcome to the Healthcare Trust of America Second Quarter 2019 Earnings Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Caroline Chiodo. Please go ahead.
Caroline Chiodo: Thank you, and welcome to Healthcare Trust of America's Second Quarter 2019 Earnings Call. Yesterday after the market closed, we filed our earnings release and our financial supplement. These documents can be found on the Investor Relations section of our website or with the SEC. Please note, this call is being webcast and will be available for replay for the next 90 days. We will be happy to take your questions at the conclusion of our prepared remarks.During the course of the call, we will make forward-looking statements. These forward-looking statements are based on the current beliefs of management and information currently available to us. Our actual results will not -- will be affected by known and unknown risks, trends, uncertainties and factors that are beyond our control or ability to predict. Although we believe that our assumptions are reasonable, they are not guarantees of future performance. Therefore, our actual future results could materially differ from our current expectations. For a detailed description on potential risks, please refer to our SEC filings, which can be found on the Investor Relations section of our website.I will now turn the call over to Scott Peters, Chairman and CEO of Healthcare Trust of America. Scott?
Scott Peters: Good morning, and thank you for joining us today for Healthcare Trust of America's second quarter earnings conference call. Joining me on the call today are Robert Milligan, our Chief Financial Officer; and Amanda Houghton, our Executive Vice President of Asset Management. As we start the second half of the year, HTA remains well-positioned as a leader in medical office buildings with an irreplaceable portfolio, a unique full-service operating platform and accretive external opportunities in our key markets, including both one-off acquisition and increasing opportunities for development.Combined with our fortressed investment-grade balance sheet, management believes we're extremely well-positioned to deliver growth in shareholder returns over the next 3 to 5 years. We have talked for years about our view of the overwhelming trends in health care that reflects a move to an integrated outpatient experience. This delivery will take place in three settings: one, on-campus, where we are the largest owner of MOBs in the country; two, off-campus, in the community locations where all leading health care providers are focusing; and three, in academic university health care system locations, where academic and health care combinations are critical.Our portfolio composition reflects these trends and the critical nature of this real estate, where the best assets in each location demonstrate high levels of tenant retention and rental growth opportunities. Our portfolio in investment strategy has reflected these key trends and HTA has targeted key fast-growing markets which we believe will outperform the rest of the country. Our targeted market approach also allows us to create size and scale in markets, with 15 markets with over 500,000 square feet and nine markets with approximately 1 million or more square feet. This scale allows us to effectively create a deeper and more strategic local operating platform with relationships and operating capabilities. This market focus is a key tenet of our growth strategy going forward. Use our platform to generate strong same-store growth and then invest in these areas where we can add additional value and accretion through operations. We believe this is the key to long-term value for all of our shareholders.The recent ebbs and flows in the public markets has allowed HTA to demonstrate our disciplined capital allocation, capital markets execution and strategy, focusing on patient, pragmatic decision-making, reflecting a long-term disciplined accretive growth strategy. We are investing in acquisitions that will allow us to expand our key markets on an accretive basis while also focusing on development with our key relationships.Turning to our operational performance in the second quarter. We achieved strong results. Same-store growth at 2.9%, driven by rental revenue growth of 2.5% and margin expansion from increased utilization of our property management platform. Solid leasing performance, with total leasing of over 1.9 million square feet for the year and 800,000 square feet in quarter two, including 205,000 square feet of new leasing. Our cash re-leasing spreads from renewals for the year are 4.7%, including 3.6% in this quarter. Our retention has remained high at 83%. Acquisitions of $111 million year-to-date have an average cap rate of over 5.5%. These are all well located MOBs in our existing key markets in which we can add our operating platform to drive additional value for shareholders.Although the acquisition markets remain very competitive for larger deals, we are focusing on one-off opportunities that fit in our portfolio but which we can acquire at accretive yields.Development is gaining traction. We have several new opportunities that are additive to our portfolio and will demonstrate our capabilities to drive value. We also moved forward on our existing deals, breaking ground on our 125,000 square-foot development in Raleigh, North Carolina and look forward to helping WakeMed improve the patient delivery on their campus when it is completed.Our investment-grade balance sheet remains strong with leverage of 30% of total capitalization and 5.7x debt-to-EBITDA. Our debt maturities remain limited over the near term. However, given the volatility in the capital markets, we took the opportunity to raise over $50 million of our equity on our ATM at a price close to $29. We did this on a forward basis so that we can take it down and balance it with our acquisitions as we pursue the opportunities that we see in the markets. However, it gives us the best option to continue to pursue good opportunities in our markets regardless of the current capital markets.From a capital allocation perspective, we remain very active and disciplined, focused on identifying opportunities that meet our acquisition criteria: One, located within our key gateway markets; two, quality real estate that will generate same-store growth of 2% to 3% consistently over the long term; and three, being accretive to our cost of capital. We continue to be amazed with some of the competitiveness in our sector but believe there are still good opportunities if we remain patient, pragmatic and diligent.As a result of our acquisition pace, we now expect our 2019 normalized FFO per share to come in between $1.63 and $1.65 for the full year. This would equate to $1.65 to $1.67 factoring out the $0.02 per share impact from the recent accounting rule changes.Our midpoint of the range remains consistent as we continue to diligently execute our strategic plan. We continue to believe this is a great space and that HTA is the best-positioned company to execute in all aspects over the long term, as we have also demonstrated in our most recent results.I will now turn the call over to Amanda.
Amanda Houghton: Thanks, Scott. In 2019, our team continues to be focused on delivering high-quality operating and leasing performance that bring value to tenants and shareholders alike. Our scale and our key markets have enabled us to build out a team of close to 200 property management, building management, construction and leasing professionals spread across 23 offices. This allows us to bring the power of a national company to a very local health care provider community. It has also helped us generate strong local knowledge, relationships and capabilities that have resulted in high levels of same-store growth, sector-leading operating efficiencies, strong leasing and retention and also great opportunities for acquisition and now, development.Our second quarter results show continued performance. Our same-store growth came in at 2.9%, driven by a 2.5% base revenue growth and 30 basis points of rental margin expansion. Our quarter-ending same-store leased rate was down slightly over last year to 92.1% while our occupancy was 91.1%.In the period, we signed over 800,000 square feet of leases. This included 205,000 square feet of new leases and almost 600,000 square feet of renewals. Our total tenant retention was 83% while our re-leasing spreads remained strong.For the year, we have now leased over 1.9 million square feet or just under 10% of our portfolio and have maintained strong performance with full year re-leasing spreads of 4.7% and 85% retention. Our annual escalators for leases signed in the period was 2.8%, continuing our trend of increasing escalators up closer to 3% as we continue to roll our leases, while our TIs remained steady at around $1.50 per square foot per year of term for renewals and around $4 per square foot per year of term for new leases. As we look to the remainder of 2019 expirations, we still have approximately 7% of our lease square feet expiring, including month-to-month tenants, and expect our current leasing momentum to continue and to achieve between 75% and 85% retention with re-leasing spreads of between 1.5% to 4% and annual escalators of approximately 3%.On the expense front, we continue to show the benefit of our economies of scale and ability to perform services using our internal engineering platform, which leads to a direct reduction in cost and much more technical focus on our building operations leading to better utility performance as we roll programs out to our properties.These benefits are currently being offset by a significant increase in our property taxes primarily in Texas. While we continue to appeal these assessments and believe favorable outcomes are likely, those appeals do take time and we won't know certain results until later in the year.I will now turn the call over to Robert to discuss the financials.
Robert Milligan: Thanks, Amanda. From a financial perspective, we continue to execute our strategic plan of growing our operating performance, investing accretively and maintaining a strong and low leveraged balance sheet that positions us for continued growth through the ebbs and flows of the capital markets, highlighted by low leverage, 30% debt-to-total capital and 5.7x debt-to-EBITDA, approximately $1 billion of liquidity and limited near-term debt maturities.Turning to the specific financial results. Second quarter normalized FFO per diluted share was $0.41, up 5% from first quarter as we continue to grow our operating portfolio and started to deploy the capital raised in last year's Greenville sale. Note that this includes the impact of Topic 842, in which almost $1 million of direct leasing costs were capitalized in the year ago period.Funds for distribution was $73.1 million, which includes $13.4 million of recurring capital expenditures or approximately 11% of NOI. With our earnings growth picking up as a result of the deployment of capital, our Board of Directors yesterday increased our dividend by almost $0.02 per year, allowing us to maintain our payout ratio between 80% to 90% of normalized FAD on a run-rate basis.Same-store cash NOI was 2.9% compared to the second quarter of 2018. This growth was driven by rental revenue of 2.5% and margin expansion of 30 basis points. This continues to reflect our ability to grow revenue while also growing our efficiency long term.G&A for the quarter was $10.1 million, with the increase driven primarily by the expensing of internal leasing costs. We continue to expect our G&A run rate to be between $10.11 million and $11 million for the rest of the year.As a reminder from our last call, our financials for 2019 continue to be impacted from the new Topic 842 lease rule changes. The impact largely relates to the expensing of direct leasing costs from 2019 as well as the addition of certain right-to-use assets and liabilities related to our ground lease obligations on the balance sheet. In addition, there were two other changes that impact the comparability of our statements between periods but had no impact on total earnings. The most significant of this was related to the accounting for single-tenant buildings in which tenants directly pay property taxes. Under Topic 842, we will no longer recognize either the revenue or expense related with these payments. In the second quarter of 2018, we recognized approximately $3.6 million of revenue and expense related to these payments.In addition, the rule change now also requires bad debt to move from expense to reduction in revenue. In second quarter 2018, this amount was immaterial.From a capital allocation perspective, we continue to see investment opportunities of a one-off nature that fit both our market and quality criteria and are accretive to our cost of capital. Their focus in our key markets allows to add an incremental 25 to 50 basis points of platform synergies on top of our stated cap rates.In the second quarter, we closed on acquisitions of approximately $74 million at an average cap rate of over 5.5%. These acquisitions were highlighted by the $40 million purchase of the Streeterville Center in downtown Chicago, an on-campus MOB directly across the street from Northwestern Memorial Hospital and a $20 million purchase of two medical office buildings in Charlotte. These acquisitions bring our scale in the Charlotte market to over 400,000 square feet and will allow us to internalize our property management and building services in this area, an important building block for our long-term growth there.Subsequent to quarter end, we closed on an $18 million medical office building in the suburb of Washington, D.C. This brings our year-to-date acquisitions to over $111 million, just under halfway to our target of $250 million for the year. While we do expect to reach our stated target, our investments will be more backloaded towards the back half of the year.As a result of these activities, we've tightened our 2019 earnings guidance while keeping the midpoint unchanged. We continue to expect same-store cash NOI growth of 2% to 3% for the year and slightly lower than that on a GAAP basis given the impact of straight-line rent. However, the timing of acquisitions, we expect our normalized FFO to range from $1.63 to $1.65 per share with momentum in earnings building in the second half of the year.I'll now turn it back over to Scott.
Scott Peters: Thanks, Robert, and we will open it up for questions.
Operator: [Operator Instructions]. The first question will come from Chad Vanacore of Stifel.
Chad Vanacore: All right. So just thinking about same-store NOI growth. Both first quarter and second quarter, they were at the upper end of the 2% to 3% range you've laid out there. How should we be thinking about second half? Should we assume that, that moderates because you're expecting some expense growth later in the year? Help us get to an expectation there.
Robert Milligan: Our expectation has been 2% to 3% same-store growth. I think our anticipation is that we'll continue to be in -- certainly in that range. I think it just reflects a little bit of conservatism on our part as we've been running towards the high end of the range early in the year.
Chad Vanacore: What would have to happen for you to actually hit the low end of that range at this point?
Robert Milligan: I think as we're looking out certainly over the next two quarters, you would have to see some unanticipated actions at this point in time.
Chad Vanacore: Okay. And then just thinking about the total portfolio leased rate that dropped a bit in 2Q and 20 basis points sequentially, and it looks like that was from some off-campus buildings. Do you have any additional color that you could provide there?
Amanda Houghton: I think when you look at the occupancy, it remains stable on a year-over-year basis. And our leased rate is largely a factor of just a normal transition process. There are a couple of assets that were transitioning from lower-quality tenancy to higher-quality tenancy and that just takes a little bit of time. So, I don't think it's anything inherent with the portfolio.
Chad Vanacore: All right. So, there's not any building with any kind of major occupancy hole in it right now?
Amanda Houghton: No.
Chad Vanacore: Okay. And then just thinking about the expenses. It seems like -- you had mentioned property taxes. It seems like that's what's driving expenses higher there. Is that a trend that we should expect going forward? Property taxes keep rising across the board. How should we think about that?
Scott Peters: I think property taxes have raised. Amanda talked about Texas, but I think it's -- from an MOB perspective, it's certainly one of the larger concerns that tenants have. I think it's one of the concerns that we have as we look at acquisitions when we underwrite opportunities. We were fortunate that -- we were either fortunate or unfortunate. But fortunately, we get to pass through the majority of the property tax increases. But ultimately, that comes into play when they see what their costs are and what their rent component is. So, one of the opportunities that you see right now in development, as you know, one of the discussions that folks are having when you talk about development is, are you a longtime holder of this asset so that we can get some stability on our property taxes. I think some of the recent portfolios that have been sold, one of the things that one would look at, one of the -- if you're looking at the larger transactions, is how is that going to come through and how is that going to play through over the next 18 months because there has been some, what I would consider to be, extremely high values placed on what were assets that were bought quite some time ago that had much different values. So, I think it's going to be an interesting aspect of what everyone will be talking about. Or certainly, if they're not talking about it, it will show up in leasing. It will show up in rents. And it will show up in what's passed through to tenants on renewals.
Operator: Next question will come from Vikram Malhotra of Morgan Stanley.
Vikram Malhotra: Maybe just first on acquisitions. You referenced sort of maybe originally, you weren't anticipating the acquisitions to be back-end weighted. Now they are. Assuming the dispositions are more back-end weighted as well. Can you sort of talk about given how competitive the market is and the pricing we're seeing, what sort of markets or deals is that sort of precluding you from? And any recent instances? For example, we've heard from several brokers there was a deal with Duke apparently which went for very low cap rate. Did you look at that deal and sort of can you give us a sense of like when you're talking about being disciplined, what are you sort of staying away from?
Scott Peters: Well, I think that first off, acquisitions right now remind me a lot of what you saw perhaps back in 2008 and 2009. I think valuation relative to the underlying long-term performance of assets is something that if you've been around 20 or 30 years, one might start to question whether or not the performance is going to actually be there. We just talked about property taxes as an example of a pass-through. We've seen portfolios that 3, 4 or 5 years ago were acquired at 8 or 9 cap rates going out for sub-5s. There was a Duke transaction that transpired, and I understand it went sub-5 with a long-term lease with little bumps and off-campus. I think it's always about; you get your value when you buy something. And I think over -- we look at this as not a quarter-to-quarter-to-quarter business. We don't even look at this as a year-to-year business. We look at this as a 5- to 10-year business and we look at returns based upon 5 or 7 years. And if HTA is looked at a 5-year period of time compared against our peers; we've performed extremely well.So, I think when you're looking at acquisitions right now, it might be even more important to look at the shareholder value that you're getting by investing those dollars. It seems like some folks -- or it seems like you can just buy anything and get rewarded. But then we've seen in the ebbs and flows of the cycle that some of that stuff that's bought ends up spun off, it ends up not performing as well or it ends up being written off. And we don't want to be in that situation. We really want to be diligent. We want to be disciplined. We want to continue to do what we've done for the last 12 years and perform in an extremely stable and consistent manner and add to our platform because we now have development and development is an arm that we have not had in the first 11 years, and that will be -- that will enable us -- give us a little more opportunity toward growth.
Vikram Malhotra: Okay. That makes sense, and that's -- I agree with you on the discipline aspect. Less important to hit the target and more important for the former. Just on rent spreads, you've now -- we've now seen maybe 4 or 5 quarters of consistent rent spreads being above kind of 3%. I remember in our previous conversation, we've talked about it being difficult to push rents sustainably -- or spreads sustainably above, call it, 2.5%, 3%. Is there something unique about what's expiring in terms of markets or is this sort of a conscious effort just given where the portfolio is? Or are you just pushing in certain markets in certain types of assets? And what should we expect going forward for spreads for the balance of the year?
Scott Peters: Well, I think there's 1 or 2 or 3 things that have happened. Many of our leases or some of the leases that we've gotten good rent spreads on have had -- have been in place for a while. So, we've been able to take that 5- or 7-year lease and move it up and push the rent spread to accommodate the need of the outpatient location for the health care system or for the physician group and that's been a very favorable outcome.Number two, we have consciously tried to move our rent spreads up over the last couple of years. We've talked about that. You want to make it a balance of both the tenant and the landlord, want to do continued business because this is a relationship business. And I think it -- as we move forward over the next seven years, the MOB sector and the whole health care sector is going to come down to certain groups of companies having certain types of relationships. And those relationships are going to need to be valued.So, I don't think you can go out and force a tenant into an outsized rent bump simply because you might have a monetary leverage point at a particular point in time. We also aren't giving away a lot of TIs. I mean that's another way to get rent spreads is to give outsized TI and incentives to get -- to move people into the space. Ours has been very consistent over the last 2 or 3 years.Now third, I do think that as we move forward, and I think that you're going to see continued pressure on rent spreads. I think rent spreads contain a very, very -- I don't know if it's the pinnacle, I don't know if it's the sixth, seventh or eighth inning of being able to push rents. But as health care systems get more sophisticated, as companies -- as REITs get more size in markets, I think there's going to be the opportunity or there's going to be the process of putting rent spreads where they meet in the middle. So, I think the rent spread is going to -- is it 2% to 3%? Probably. I think more than would be an aberration or a particular circumstance. And as we move forward, I think that if you can get 2.5%, 3%, I think you've got a very strong portfolio for shareholders
Vikram Malhotra: Okay. And then maybe just a broader macro question for you, Scott. I know you've sort of been one of the unique -- or had a unique view from many in terms of you're probably one of the few calling for rates coming down. Sort of what's you're outlook? What do you bake into the model overall in terms of kind of where we are in the cycle and rates over the next six months?
Scott Peters: Well, I think we're pretty much where we are. I -- rates have come down. They were supposed to be up a couple of hundred basis points. If we remember what it was a year ago, when people were looking at that, we've had some conversation with folks that said, well, you guys didn't buy much last year and I think the reason we didn't buy much is because we really were listening and viewing where the pundits thought the tenure was going to go. We wanted to see if, as in past real estate cycles, that cap rates correspondently went up at those times. And we have seen that, that has not happened. Even as the tenure has come down from 125 basis points of 3.25%, cap rates in the MOB sector hasn't -- haven't really moved. It's a very strong asset class. So, our expectation really is that what we're seeing right now, we're seeing an economy that's theoretically as good as it can be and we're seeing weakness from the Fed that needs to feel that there's some underlying weakness. So, I'm not looking certainly for anything to drastically change for the next 6, 9, 12 months.
Operator: The next question will come from Nick Joseph of Citi.
Nicholas Joseph: You laid out the three delivery settings: on-campus, off-campus, university health systems. Where are you seeing the best risk adjustment to opportunity currently? And how do you think about the right balance longer-term between the three settings?
Scott Peters: We'll work backwards on that. I think university academic settings, we started talking about that -- or I did -- I think on the first conference call six years ago and that was really the first time that I think it was mentioned on conference calls. And now it's a very highly sought-after combination of utilization. I think that continues. Obviously, health care is -- to battle our health care issues as a country, we're going to continue to work on the combinations between universities and hospitals and so forth. So, we like that asset class but now that is becoming a very sought-after asset class.Off-campus, I continue to take the approach that the push off-campus to critical, core critical off-campus locations will continue. Insurance is going to require physicians, health care systems, access to the easiest locations and also to be able to service the most amount of patients as quickly and efficiently as possible. So, it's really a natural evolution from the on-campus.But then again, on-campus is still next to the hospital. It's still irreplaceable and it has its fundamental use. It tends to have higher TI costs and it tends to have far more restrictions from ground leases because that's what hospitals have when they have properties located around the hospital.We like our mix probably and being the size that we are, probably is going to be 60-20-20. I would say if we are fortunate enough to get the academic university concentration up a little bit, we would do that. And we'll continue to look at and into the core community locations that we find.Now our development platform, we've got 3 or 4 opportunities that are all going to be on-campus. Fortunately, a couple of them will be fee simple and a couple of them won't. So that will add to the mix. And so, I think we'll continue to be the acquirer of good assets located in strong -- our cities, the ones that we like. Because I think again, as this continues down the path of evolution, there's 5, 6 competitors who are looking for MOBs. There are markets and there's markets where each of us are trying to get a foothold in and there's markets where each of us are trying to get relationships with the health care systems. Not necessarily relationships that are solely ours or solely -- but certainly, where we have enough square feet, where we have enough of a working relationship that were considered when folks are looking to re-lease or to build buildings or to move other locations to other locations that we have. So that's going to be -- continue to be in that 15 to 25 markets that we like and we will concentrate in.
Nicholas Joseph: And just maybe on the returns you're seeing right now. Is there any dislocation across those three and any one that's screening better today?
Scott Peters: I think that the off-campus has come down a lot more than one would expect. I go back to the transaction that was just referenced here, that was the Duke transaction which was off-campus and sub-5 and a good asset. I mean we were there. We liked the asset and we were just not able or prepared to go to the price that -- nor were we selected to go down there. So -- but that's an example of where I look at and say, that's an asset that will, over time, do extremely well but the returns are going to be 2% same-store growth, they're going to be consistent and you bought it at the cap rate and you're going to put certain leverage on it. So, your returns are going to be pretty much in a very fine tuned box, versus a multitenanted where you can see some rent growth, you can push rent spreads and you can hopefully get a little more opportunity to get a higher yield.
Nicholas Joseph: And then you did the forward ATM equity. How do you think about capital needs for the remainder of the year given your acquisition pipeline and current leverage?
Scott Peters: Well, we are in a really good position. I think we are halfway through our acquisition target and we're pretty comfortable with that. We're being selective. I would hope that people listening to this call don't take away our $111 million and say that, that was a limitation based on opportunities or even limited fee based upon competition. We've seen opportunities. We've been very selective. We passed on several that, frankly, we could have had but I -- we didn't like the quality of the asset long term.So, we're confident or we're pretty confident about our acquisition process. And our balance sheet is well positioned. We will have a couple assets that we will dispose of at what we think are compelling prices. And so, we're in a real good position for the next 6 to 9 months.
Operator: The next question will come from John Kim of BMO Capital Markets.
Piljung Kim: On the Streeterville Center acquisition, you described it as on-campus, but does it have your typical on-campus characteristics? Meaning, do you own the land? Is it fee simple ownership? And does the Northwestern Memorial have any control rights on leasing?
Scott Peters: Well, you take that asset and it was a $40 million asset and it's directly located right across from Northwestern Surgery. I look at assets and after you look at them for 35 years, sometimes you walk in and see something and say, holy cow, that is a great asset. This is a great location. It's fee simple, it's right across from Northwestern, it's got, right now, 104 tenants in it. It's 100% occupied. Northwestern wants to move larger spaces into that building but prior owner did not have the capital in order to accommodate that process.Caroline was fortunate enough to meet the brother and sister and was able to keep that sale process, frankly, very constrained. In fact, I lost $20 and said that, that was going to go much wider and farther to other people, and it didn't. So, we were able to pretty much get that opportunity, work with them and get it closed in a very timely and efficient manner. That's a great asset. I mean that's an asset that if you can continue to buy assets like that, you're going to have long-term growth inherently in your portfolio
Piljung Kim: Maybe a technicality, but you described the square footage as 72,000 square feet. CoStar had it at 82,000. I was just wondering if you're aware of that difference and why that might be the case?
Robert Milligan: Yes. There's 72,000 square feet of rentable square feet in there. I think there's a parking component in there that added some extra square footage in some of the other listings that might be out there.
Piljung Kim: Okay. Scott, you mentioned on the higher property taxes or you sort of implied that your tenants are looking at that and it might impact rents. Can you provide some more color on that? Does that impact the way that you could increase the base rent going forward? Do you need to offer higher TIs? Is there a different amount that you could get reimbursed?
Scott Peters: I think number one, when we looked at -- we've looked at 3 or 4 acquisitions in different states. And the first thing we're doing is looking at the impact, the theoretical impact of a property tax increase in the pass-through based on rent vis-à-vis the market value of rents in the building and also in competitive buildings. Because fact is that if you've got four buildings in an area, one trades and one trades for a cap rate and the other one has been there for 5, 6, 7, 8 years. There's going to be a difference, and that difference is going to get passed on to tenants every time they renew their lease. So, I think that's one of the things that we are very cognizant of when we underwrite an asset. Because tenants, they're not immune to, "Gee-whiz, my rent just went up $2 or $3 or my CAM went up $2 or $3 and my rent went up 3%," and now all of a sudden, "Why did that happen?" The only thing that happened was that you bought the building from somebody else and it really didn't impact me. So, we are doing that and I do think that that's one of the things that as an underwriter, you need to look at.
Piljung Kim: Should we be expecting lower rental growth in Texas or Georgia or in markets like that?
Scott Peters: Well, I think that's -- if you preface my comment earlier, I said that right now, we see rent spreads and rent spreads I think are in a very nice place. I mean, again, over the last 12 years, I don't remember rent spreads or being able to push rent spreads quite this easily as we have done. But I think there are a number of complicating factors coming around. And when leases roll, one of those complicating factors are going to be property taxes because tenants obviously have to pay them in the middle of their lease. But when the lease rolls and that impact comes through, that's when you're going to look at saying, okay, what is the market value for my rent or what is my rent and how does it compare to my competition. So, I think we're going to see rent spreads continue, if you look at a period of time, in that 2% to 3% range going forward. I don't think you'll see it outsized, 4% plus, and hopefully, I don't think you'll see 1% -- 0% to 1%. I think that historically, you can get 2% to 3% and I think that will continue.
Piljung Kim: Okay. And then Robert, on the last call, you mentioned development starts. Your goal was to get that to about $100 million a year. Are you on pace to do that in 2019?
Robert Milligan: Yes. I think we're pretty close on a couple of transactions that hopefully we're just waiting on a few signatures to get done and we'll be happy to get those announced and out there. So, I think that's going to be a big driver. As Scott mentioned, we are gaining traction and seeing opportunities. And so that is something that we are very close on and we do expect to be able to get to that in that range. But we do expect to announce a couple of things in relative short order
Operator: The next question will come from Rich Anderson of SMBC Nikko.
Richard Anderson: So, first question, why did the same-store pool go down by four assets? I couldn't understand why it would've gone up but not down. If you could just provide a little color there versus the first quarter?
Robert Milligan: Yes, versus the first quarter, I think we got a couple of assets that went into redevelopment. We're anticipating some redevelopment projects that have been approved and will get announced out there. One of the big things that we've announced obviously is our big WakeMed project, which broke ground in construction, and we'll have 1 or 2 more of those to announce here in the next quarter or so.
Richard Anderson: Would your same-store have been changed negatively or positively if they were still in there?
Robert Milligan: It really wouldn't have had much of an impact on those properties. It's something moving forward.
Richard Anderson: Okay. Second question, Scott, you mentioned you're not using extra CapEx to get your re-leasing spreads. But on the tenant retention side, obviously, the last thing you want is for someone to leave most of the time, sometimes maybe you want them to leave but usually, you want people to stay. And your tenants know that. I'm curious if you're having to spend more capital to maintain that 80% plus retention rate and how those conversations are going in light of the environment that we're sitting in today?
Scott Peters: The CapEx has been pretty consistent. I mean we -- I don't think you've seen us move significantly on the TIs. We have had a couple of leases where they've been bigger leases with certain health care systems. But we've tried to stay very practical and consistent in our utilization of capital as it relates to leasing.
Amanda Houghton: And to elaborate on that, I do think that you've started to see, especially on the larger renewals that we're doing, a push from the tenants to do longer-term deals. They're putting money in, matching the funds that we're putting in. They want to lock that space in for a longer period of time. So even on a year-to-date basis, we're up over eight years of term on average for renewals, which is pretty long for us if you look at what we've done historically. So, I think that's a trend we'll continue to see. But on a dollar per square foot basis, we're pretty consistent.
Richard Anderson: Okay. Last question and perhaps you saw my note this morning. But on the Duke deal -- and Scott, you did mention that you do things with a 5-, 7-year time horizon. But since Duke, you did $0.41 in FFO. The quarter before, you did -- you completed the Duke transaction. And today, $0.41, similar same-store growth. What has materially changed about the growth profile and the earnings power of the company since doing that transaction? What can you point to that is better about the company just -- aside from just being bigger?
Scott Peters: Well, I think it starts from the core markets. I think the size in our markets is just something that is uniformly distinctive from all of our peers. We've got sides. We have an operating platform that is able to take advantage of, and I think the one thing that the Duke platform transaction proved was that we can take a group of assets and we can underwrite them and we can move those assets to a yield that we underwrote and perform on.We run into a little bit of an acquisition. External growth has always been the driver of most REITs and so we've been very cautious over the last 18 months. We haven't had to sell-off assets. If you -- we see ourselves right now, and I did read your note, I -- we have not had to sell-off assets as some of the big three have had to do over the last 24 months in order to get to a place where now, they are being looked at somewhat differently. We have not had to do that. So, our performance has been consistent. Our acquisitions have been prudent from a performance perspective.And then third, we've got a development side. The development side of the equation is just starting to take impact and allows us the ability to have an integrated approach to our health care system approach. So, we've really taken the company, moved it in size, kept the balance sheet extremely strong, improved our positioning in every market, the 15 markets that we're in, gotten size relevance and then we've added the development opportunity to it. And all along, we have continued to perform at that upper 2% same-store growth cash NOI basis. So, from a merger perspective or an acquisition perspective, I think we've been very consistent and that, that portfolio did what we expected it to do.
Richard Anderson: Okay. But I mean, you -- often, you make deals to improve the growth profile of the company. Do you see that, using your 5 to 7 year reference point, do you see somehow kind of the Duke transaction coming in to a little more visible component to the story in terms of the growth? Or is it the other way, where you kind of supported the consistency to this point where had you not done the deal, maybe you wouldn't be doing the type of growth range that you're in today? Is that maybe closer to the point?
Scott Peters: No. I think that if you look at the Duke transaction, it puts us in a strong position in every market that we're in. Acquisitions, certainly, are based upon your cost of capital. And that cost of capital has impacted everybody here in the last 18 months. So, I don't think that, that is a -- we would be in that same boat whether we had done the transaction or hadn't done the transaction. The development side, we would not have had a development side of the equation and we would not have had the size of our operating platform to continue to produce results going forward. So, if you had -- your question is would we rather have done it or not done it? I think laterally, it puts us in a stronger position going forward over the next five years than if we hadn't done the transaction. And that's from a shareholder perspective.
Operator: The next question will come from Karin Ford of MUFG Securities.
Karin Ford: Is there anything going on at the health care systems that you can point to that you think might be driving the accelerating development opportunities? And are you seeing any signs that new supply is ramping in any of your markets?
Scott Peters: Well, what we have seen is that the health care systems are very distinctive about what they want to build. And I think that, that is a long-term component of medical office buildings with health care systems. And the other part of that is that the buildings that they want to build are occupied or preleased, which is another strong component of this sector. What we're not seeing and we haven't seen is spec building or even developers wanting to go up and put something up and hoping to get someone to locate in the building.The MOB space, the health care system physician space is becoming very pragmatic in their thinking, their processing and where they want to be. And so, I don't see overdevelopment. I do see opportunities. But it's pretty regulated because of the cautiousness and the inherent conservativeness of the health care system. They take a long time to analyze it, they want to make sure that they've got the right outpatient mix in the building and then they turn around and they go through the prudent process of putting out an RFP and seeing whom comes in at a rate that they feel comfortable with. So, we are seeing that. We are participating in all of them. But it isn't something that -- there's not 10 of them, there's 3 or 4 of them. And the opportunity here is for the folks that do that to see which one can either have a relationship with the health care system or bring something to the table that allows HTA to get that opportunity.
Karin Ford: Great. And my other question is, is there any update on the lease level and the timing of rent commencement at Forest Park from last time we talked?
Robert Milligan: Yes. I think from an overall perspective, Forest Park is now kind of north of 96% leased, and with rents commencing really starting in the second quarter and kind of accelerating into the third and fourth quarter. So, from an investment perspective, we've seen that really come back and bounce back. It's fee simple ownership with about 200,000 square feet right now and we think there's the opportunity to certainly expand that.
Operator: The next question will come from Jonathan Hughes with Raymond James.
Jonathan Hughes: Sticking kind of with development. I was under the impression, part of the rationale for Duke a couple of years ago was the relationships that could lead to development opportunities. But you earlier in just mentioned you're active in RFPs with systems to get the development mandates. I mean has that changed or evolved over the past few years as Duke has been integrated and these health systems are incredibly cautious and judicious when it comes to picking who they choose to develop with?
Robert Milligan: No. I think there's certainly -- as Scott just mentioned, I think health systems have been selective. I don't think there's a myriad of developments going on out there. I think as we've gone through the transition, certainly there was a transition period once we bought the Duke portfolio and platform where there was a testing out period. But I think a couple of things have certainly come out from that. I think first of all; we finished the developments that we acquired when we bought the Duke team. When we're talking about Duke cap rates and really, our ability to grow the yields on that portfolio from 5% to 5.4% at the end of the fourth quarter, part of that was completing those projects on time. I think that was a big test of any health systems look at us for. And now we've seen new wins. WakeMed in Raleigh, North Carolina was that first big win, 125,000 square feet. We've got a couple of more from that, that are in very late stages and we think are going to get announced in very kind of near term and that's going to show the acceleration of the opportunity for us.
Jonathan Hughes: Are there any programmatic development agreements in discussion?
Robert Milligan: I think in our discussions with most of the health care systems, most of them are open to -- if you give them the best possible terms, they like to call that a program that you go after and that you can replicate as you see fit. As we have our discussions with our health care systems, I think there's strategic discussions and I think you're going to see them start to come out. But I think for us, as we've looked to be selective where we invest our capital, I think that's how you're going to see us approach the development space as well.
Jonathan Hughes: Okay. All right, Robert, and maybe just sticking with you, just on the forward equity raise. You do have a lot of liquidity at the external growth outlook. It sounds like it's still pretty challenging, and those proceeds were raised. You're modestly below consensus NAV. I guess I'm just curious, why do the forward equity raise in the first place?
Robert Milligan: I think from our perspective, as Scott mentioned, it's not for lack of opportunity that we were cautious and pragmatic certainly in the first half of the year. There are opportunities. We are seeing it in our markets and I think you've seen us execute on them now, and you'll continue to see us execute on them. As we look to the balance sheet, it has been in volatile capital markets and we've looked at the ability to really raise a small amount of equity at a price that we could make accretive investments again. When we're looking at these one-off acquisitions, we're buying them at 5.5% to 6s with the ability to add our property management platform on top of that. So, a little bit of equity there, keeps our balance sheet in a good shape. It's accretive to the investments that we're making and it allows us to continue to be more aggressive going forward.
Jonathan Hughes: Okay. So, one more for me. I mean, what steps can you take at this point to close the valuation gap relative to NAV as you're now trading about 8% below consensus NAV? I know you did some sales last year but I'm just curious what steps we can expect over the next 12 months to really try to close that gap?
Scott Peters: Well, I think that what our focus is on is what we've always focused on. What are we? We are extremely capable from a platform perspective of producing 2% to 3% same-store cash growth. I think that's very important as you go through quarter-to-quarter-to-quarter. We keep our capital investment, relative to that, very consistent so that we're not disproportionately giving away any dollars. Earnings, I think that's one of the things that has to be looked at. Does it drop to the bottom line? And I think one of the things that we want to do and one of the things we've talked to folks about this year is continue to grow FFO on a consistent basis. And I think that, by itself, over quarter-over-quarter will continue to help us close this gap that you mentioned.I think just continuing to do what we have done, strong balance sheet, very safe dividend, strong same-store growth that is consistent, adding development opportunities that are a little more accretive, being a very cost conscious, disciplined user of capital.Again, over the last five years, if you look at how the six of us have performed, we're up 14%. We've never had a negative period of time. The other folks have had negative periods of time. So, you have to look at something -- I think over a longer period of time and I know shareholders today, they look at quarter-to-quarter, they might look at year-to-year, they might look at the ebbs and flows of particular asset classes. We like MOBs, we like the ability to see them continue to perform for the next 5, 7, 10 years. And our job, really, is to be consistent. And by doing that, I think that gap closes and I think shareholders get the benefit of that type of model.
Operator: The next question will come from Daniel Bernstein of Capital One.
Daniel Bernstein: I wanted to ask about the internalization of Charlotte assets and how you think that's going to improve the NOI growth there, the opportunities you have to improve growth in Charlotte? And what other major metro areas in your portfolio are currently not internalized?
Robert Milligan: I think with the acquisition, Dan, what we've seen over time is any time that we can bring assets from third-party to internalizing them, we typically get 25, 50 basis points incremental yield on that. So that was the opportunity in Charlotte. It was a new market for us that we entered as part of the Duke transaction and we've since bought a handful of assets around that to really build it out. So, from a same-store growth there, that's where we see that incremental 45 to 50 basis points of yield, really with the ability then to have a local team that seize more opportunities, has better relationships with the health systems that should lead to more investment opportunities down the road.
Daniel Bernstein: Are there other major markets that you're in that you'd like to internalize?
Amanda Houghton: As I look at the portfolio, the only remaining market or properties that we don't have in-house are either markets where we don't have the scale, it doesn't make sense to do it; or in the case of Connecticut, and there's a couple of assets in Florida that we purchased from the developer where they've got a period of time that we've guaranteed them to be able to manage and/or lease the property, and as those agreements come up, we will certainly evaluate them for in-housing. So yes, there are additional opportunities there.
Daniel Bernstein: Okay. And then on the acquisition side, I mean, if you look at some of the data that's out there, especially if you exclude some of the larger acquisitions that were scheduled earlier this year, acquisition volumes for the MOB space has come down a little bit. Is there any reason to think or anticipate that maybe cap rates will come up a little as a result of a little bit less volume transactions? Or is that just an aberration that was caused by some of that market dislocation in December, and there's really not been a fall-off of any kind of acquisition volumes or competition in the space?
Scott Peters: Well, my sense is that cap rates are being driven by a couple folks who are very attracted to the MOB space and are buying things that are being blended with other things that are higher cap rates and therefore, being able to grow earnings, i.e., theoretically over the next 2, 3, 4 years. I mean it's always fascinating to look back and see what people say and then what happens? I remember RIDEA was supposed to be this great same-store growth engine 4, 5 years ago and it was like 7%, 8%, and boy, that's not happened.So, I think that we're seeing folks blend acquisitions. MOBs are still at a lower cap rate because of the consistency, the quality, the location, all the things that we like about it. And then they're blending it. So, I think MOBs are going to stay pretty much where they are. I think it'll be interesting to see how long this continues. But as Robert said, and as I reiterated, we will continue to find those opportunities. They're one-offs. They're not large transactions. But they are opportunities in the 5.5% to 6% cap rate range where we can bring our platform to it, we can get 2% to 3% escalators and we can continue to get the longer-term yield from those assets, not a constrained yield or a declining yield, which is always interesting when someone buys something.
Operator: The next question will come from Lukas Hartwich of Green Street Advisors.
Lukas Hartwich: Just a couple for me, most of my questions have been answered. What happened to the redeemable noncontrolling interest on the GAAP balance sheet?
Robert Milligan: Yes, so from that perspective -- great question. I'm glad you caught that, Lukas. What we had was we had a joint venture on a specific property. There were -- some of the sellers had the ability to convert interest into units or cash. This was on a building we acquired back in 2010, great building, on-campus in Houston. I think we bought it for like an 8.5%. One of the first joint ventures that we did, first OP unit deal. So, at the end of the period, there was a put right on it. It was a couple of million dollars of a transaction, and so that went from being redeemable to it's going to be in mostly OP units with a little bit of cash.
Lukas Hartwich: Perfect. And then I noticed there wasn't a ton of development spending during the quarter. Are the time lines there still on track?
Robert Milligan: Yes. The time lines, when we look at those, the big projects that we have right now, WakeMed in Cary just kicked off from the groundbreaking, that was end of April, beginning of May. So, you'll see that start to accelerate. The other active one that we have is down in Florida. We just got through the permitting process there so we should break ground there at the back half of the year. So yes, those are certainly on track right now.
Operator: The next question will come from Todd Stender of Wells Fargo.
Todd Stender: All right. And just going back to the ATM usage. You've got quite a bit of time before you have to actually tap it, which would suggest maybe you could use your line of credit which will be highly accretive for acquisitions for the rest of the year. If my train of thinking is right then maybe your earnings guidance would've maybe ticked up a little bit but it came down fractionally. Is there anything tucked in there? I don't know, maybe it's the redevelopment drag, maybe just provide some color on that whole context.
Robert Milligan: I think, Todd, like we've mentioned, most of this comes down to acquisition timing and really matching it up with equity, taking equity at the time that we do the acquisitions on that. So, I don't think we're going to necessarily try to play any games around that or anything like that. But it was an opportunity to issue equity at a price that we can make accretive transactions on that and it gives us the confidence and the capital markets to move forward with those transactions that we see, that we think are going to certainly add value.
Scott Peters: And I think we would -- as a general consensus would be users of that sooner than later.
Todd Stender: From the equity? Okay, got it.
Scott Peters: It wasn't something that we raised and thought we'd put away for 12 months.
Todd Stender: Got it. So back to your point about the top line. Rent spreads are wider than usual, so top line came in really pretty high. When you look at the tenant recoveries, it's something that when I speak to investors, they want a discount to some degree just because it's not the core business. But there's a lot of pricing power potentially tucked in there when it comes to passing through expenses. Can you just kind of flesh that a little bit when it comes to the property taxes and anything else that's tucked in there?
Robert Milligan: Well, I think, Todd, our view is that base rent is truly the driver of most of the growth. So that's why we've consistently broken that out as a component of our same-store and look to highlight that. But I think what you said is right. Given the lease structures that we have, as you see potential cost increases, we've got the additional ability to pass it on certainly to the tenants which minimizes the NOI hit that we might take.So, I think our focus on growing things is certainly how we drive base revenue growth going forward through rate and occupancy. And then from a tenant recovery perspective, I think our focus all along has been how do we control expenses and decrease them. And so, when you look back over a 4-, 5-year trend, we've been essentially flat to down for expenses. So, as you see any of these increases now, most of these tenants have enjoyed kind of low-level expense growth especially relative to certain of our peers. And so, what you're seeing now from an expense perspective is a catch-up from a property tax perspective. But again, most of that pass through to the tenants.
Todd Stender: Okay. And then going back to the Streeterville acquisition, I think you highlighted there's 104 tenants in there. That seems like a lot but maybe just to get some context for that...
Robert Milligan: It is a lot.
Scott Peters: That's a lot. A lot.
Todd Stender: Are they taking up small footprints and does that change over time just as we talk to you guys and every other medical office building landlord that the hospital systems want to take bigger footprints? Maybe just kind of speak to what the property looks like now versus maybe what it will look like?
Scott Peters: Everybody has a vision. When you buy something, you should have a vision of value and a vision of how you're going to bring improved performance. When we looked at that building, our first thoughts were, first of all, a great location. And you go back, location, location, location. And you go, where it's located, well, it's located to Northwestern, which is obviously one of the top 3 or 4 universities in the country from a health care perspective.Then we did our interviews and it was clear to us that the tenant -- the owners were specifically trying to keep the building occupied and were using as little capital as possible in order to do that, which is understandable because they were just two folks and they had inherited the property and they were living on a budget. So, our view is -- and we looked around and talked to folks -- is that we'd like to slowly, and it has to be slowly because we've got real good paying tenants who pay top dollar with 3% escalators and so you just can't go in and kick them out.But over time, we've been approached and we've already been approached where the university would like to take larger spaces. It will require capital. Fortunately, we can do that. And if you come back to that property seven years from now, I think that property will have a completely different internal footprint and it will be motivated or it will be focused upon larger tenants, larger spaces, higher rents and greater value.
Operator: And this concludes our question-and-answer session. I would now like to turn the conference back over to Scott Peters for any closing remarks.
Scott Peters: Well, thank you, everybody, for joining us for our conference call and we look forward to reaching out and talking with any further questions if anyone has any. Thank you.
Operator: Thank you, sir. The conference has now concluded. Thank you all for attending today's presentation. You may now disconnect your lines. Have a great day.